Operator: Hello, thank you for standing by, and welcome to Allogene Therapeutics Third Quarter 2021 Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be aware that today's conference is being recorded. I would now like to hand the conference over to Christine Cassiano, Chief Communications Officer. Ms. Cassiano, you may begin.
Christine Cassiano: Thank you, operator, and welcome to all who join the call. After the market closed today, Allogene issued a press release that provides a corporate update and financial results for Q3 2021. This press release and today's webcast are both available on our website. Joining me on the call today are Dr. David Chang, President and Chief Executive Officer; Dr. Rafael Amado, Executive Vice President of Research and Development and Chief Medical Officer; and Dr. Eric Schmidt, Chief Financial Officer. During today's call, we will be making certain forward-looking statements. These may include statements regarding the timing and ability to advance our clinical trials and regulatory matters, our clinical data and 2021 financial guidance among other things. These forward-looking statements are based on current information, assumptions, and the expectations that are subject to change. A description of potential risks can be found in our earnings press release and latest SEC disclosure documents. You are cautioned not to place undue reliance on these forward-looking statements and Allogene disclaims any obligation to update these statements. I'll now turn the call over to David.
David Chang: Thank you, Christine, and good afternoon. In October, we communicated that the FDA had placed a clinical hold on our AlloCAR-T clinical programs based on the chromosomal abnormality observed in one patient in ALPHA2 trial. Although we have been unable to treat patients while the hold is in place, multiple other workstreams at Allogene continue, including preparation for our Phase 2 pivotal trial on ALLO-501A, advancement of our Cell Forge 1 manufacturing facility and all our preclinical work on solid tumor targets and next generation technologies. On today's call, we will share a brief update on the clinical hold and perhaps even more importantly the ultimate reason that we remain committed to advancing our platform, our data, and the potential impact to patients in need. Let me first start with what's in top of mind. Since we announced the clinical hold on October 7th, we have been actively engaged with the FDA in discussions that we hope will lead to a timely resolution. We are extremely appreciated of the time and attention that the FDA has devoted to this matter, which we believe has implications not only for the field of allogeneic cell therapy, but also the broader field of cell therapy. I'm also grateful to our team at Allogene, which are making great progress in generating information for us and the field to understand and properly address the chromosomal abnormalities observed in our patients. The FDA's stated mission is to ensure the safety and efficacy of medical products, but the agency has also been mandated by Congress to expedite product development. As FDA leadership has shared at recent public forums, they have identified the development of the allogeneic CAR T drive from healthy donor cells at potential way to increase access to the therapy and decrease manufacturing time and cost. We recognize the FDA's responsibility to ensure patient safety while supporting innovation. The FDA has continued its review of our end of Phase 1 materials submitted in anticipation for a potential ALLO-501A pivotal Phase 2 trial. From Allogene's perspective, we understand our own responsibility that comes with being a pioneer in the field of cell therapy and look forward to doing everything necessary to facilitate a safe and timely resumption of our clinical studies. During our interaction with FDA, we have remained in close contact with our investigators, including the clinician, who is caring for a patient, who subsequently received an allogeneic stem cell transplant. We have heard from many of these investigators, they look forward to reinitiation of our trials and view our AlloCAR T product as an important therapeutic options for patients calling up how many of their patients cannot wait for the delivery of autologous CAR T cells or don't want to risk manufacturing failure. Most importantly, we believe in the potential of our AlloCAR T products and have treated now more than 130 patients with lymphoma, multiple myeloma and renal cell carcinoma across five Phase 1 studies. In the ALPHA1 trial alone, we have treated over 60 lymphoma patients and we are excited to share updated data at the ASH conference in December. I will now turn the call over to Rafael to preview our upcoming data presentations.
Rafael Amado: Thank you. As David has noted, I will focus my comments today on data updates from both our anti-CD19 and BCMA programs, which will be presented at next month ASH Conference. We believe the data disclosed in the ASH abstract for ALLO-501 and ALLO-501A continue to validate our consolidations strategy. ASH will feature an oral presentation on our Phase 1 ALPHA2 trial with ALLO-501A and a poster presentation on ALPHA study with ALLO-501. Consistent with the data presented at ASCO earlier this year, the updates in the ASH abstract continued to support a favorable clinical profile for AlloCAR in non-Hodgkin's lymphoma and demonstrated that consolidation dosing is well tolerated with a potential for enhanced efficacy compared to a single dose of cells. We chose the term consolidation to describe our unique approach to re-dosing, which goes beyond simple retreatment. Our proprietary lymphodepletion strategy enables us to provide a second dose of cells without readministration of chemotherapy, allowing cells that persists from an initial dose to remain active while newly administered cells can work to consolidate our response to therapy. While the data are early, we believe this strategy holds advantages over other retreatment paradigms that are being studied. As you may recall, data presented from the ALPHA2 study at ASCO earlier this year included six evaluable large T cell lymphoma patients treated with a single dose of ALLO-501A and tied evaluable large B cell lymphoma patients from the consolidation cohort in this study. As far as the ASH abstract data cutoff date in July 15 patients had received the ALLO-501A fixing the single dose cohort and nine in the consolidation cohort with 12 patients or six each evaluable for response at day 28. In the consolidation cohort, both the overall response rate and complete response rate were at 67% with all three partial responses converting to CRs following consolidation. We look forward to presenting data on additional patients from the consolidation cohort data at ASH recognizing that a few in this group were not able to receive a second dose following the clinical home. The safety profile of ALLO-501A continues to be manageable in both the single dose and consolidation cohorts. Events of interests in the single dose cohort were previously reported at the 2021 ASCO Annual Meeting. In the consolidation cohort, there was no cytokine release syndrome, no graft-versus-host disease, no ICANS, no dose-limiting toxicities, no dose reductions or Grade 3+ infections and infusion-related reactions were Grade 2. Among all treated patients, cytopenias were the most common adverse event and occurred in 72% of patients. The patient with aplastic anemia and the chromosomal abnormality treated in the ALPHA2 trial was not referencing the ASH abstract due to the timing of the data cutoff. Meanwhile, we continue to prepare for the advancement of the ALLO-501A program into a pivotal Phase 2 study with the understanding that certain work streams are being delayed by the halts and subject to ongoing discussions with the FDA. In the ASH abstract for the poster presentation of the ALLO-501A ALPHA trial, the updated data continues to highlight that allogeneic CAR T therapy can be effectively and conveniently delivered to patients with relapse refractory non-Hodgkin's lymphoma with responses have served across all cell doses and tumor histologies. In data presented across 36 CAR T naïve patients response rates continue to be similar to those seen in autologous CAR T therapy trials, and the modified intent to treat population remain nearly identical to the intend to treat population with 46 or 47 enrolled patients receiving therapy and an average time from enrollment to start a therapy of five days. As of the July Ash abstract data cutoff, five additional patients were treated relative to the data previously reported at ASCO earlier this year. Overall, response rate and CR rates remain at 75% and 50% respectively. In the 13 CAR T naïve patients with large B-cell lymphoma, the overall response rate was 62% and the CR rate was 46%. In the 23 CAR T naïve patients with follicular lymphoma, the overall response rate was 83% and the CR rate was 52%. Four of the seven follicular lymphoma patients enrolled in the consolidation cohort were evaluable for assessment after consolidation dosing at the time of the data cut off with an overall response rate and CR rates of a 100% and 75% respectively. As we see ALPHA2, we will report on additional patients treated in the consolidation cohort of ALPHA at the ASH meeting with a few not able to receive a second dose following the clinical halt. The percent of patient remaining in CRS, six months following a single infusion of ALLO-501 was 36% in large B cell lymphoma, which is similar to six months CR rates reported in the pivotal trials of autologous CAR T cell therapies with the longest ongoing CRS 15 plus month as of the data cut off. The six month CR rates from follicular lymphoma was 28%. There were no cases, so GvHD or DLT subserve as noted previously, one case of Grade 3 ICANS was reported. Grade 1/2 CRS occurred in 22% of patients with one case of Grade 3 CRS. All were managed with standard protocols. Cytopenias were the most common adverse event and occurred in 83% of patients. Infection rates remained similar to those abstract in autologous CAR T trials. There were no new treatment emerging that reported in this abstract. The oral presentation at ASH from our multiple myeloma program was focused on a single administration of ALLO-715 at higher cell dose cohort. Subject to the whole, we continue to target 2022 for data from the combination of ALLO-715 with nirogacestat consolidation dosing with ALLO-715, and ALLO-605 through a current study. Findings from the UNIVERSAL abstract indicate that allogeneic CAR T cell therapy can be delivered rapidly and without the need for bridging therapy to patients with refractory multiple myeloma, with a single dose of therapy capable of inducing deep responses. The ASH abstract contains data as of June with 42 patients treated at escalating doses of ALLO-715 and doses of ALLO-647 ranging from 39 milligrams to 90 milligrams. As we see ALPHA trials, the median time from enrollment to lymphodepletion was five days. Patients were in advanced stage of disease with a median of five prior lines of therapy and 43% of patients were penta refractory. The trial did not permit bridging therapy. When the initial UNIVERSAL data set was presented at ASH 2020, we'll report it on 26 evaluable patients across all dosing. The efficacy analysis for this ASH presentation, however, we'll focus on those patients treated at the highest two dose levels of 320 million and 480 million CAR positive cells. At the time of the abstract, 26 patients were treated at the highest two-cell dose levels along with fludarabine, cyclophosphamide and ALLO-647 lymphodepletion. The overall response rate was 62% with a very good partial response or better or VGPR+ rate of 38.5%. Median follow-up for these patients was 7.4 months with a median duration of response of 8.3 months. Of the 10 patients with a best response of VGPR+, eight were found to be MRD negative. No GvHD was observed. The most common Grade 3+ adverse events included cytopenias. CRS was reported in 52% of patients, in all cases Grade 1 and 2 except for one patient with Grade 3. One patient with Grade 2 CRS experienced Grade 1 neurotoxicity that resolved. Grade 3+ infections occurred in 13% of patients, including two previously reported Grade 5 events. We are pleased that the data from UNIVERSAL showed the multiple myeloma patients treated with ALLO-715 can achieve and maintain meaningful response rates. We look forward to providing updated data across our lead product candidate at ASH in December. We remain enthusiastic about our differentiated ALLO CAR T platform and what its potential may mean for patients. I would like now to turn over the call to Eric for an update on our financial.
Eric Schmidt: Thank you, Rafael and good afternoon. We ended the quarter in a strong financial position with $861.7 million in cash, cash equivalents and investments. In the third quarter of 2021, our research and development expenses were $58.7 million, which includes $10.1 million of non-cash stock-based compensation expense. General and administrative expenses were $19 million for the third quarter of 2021, which includes $10.8 million in non-cash stock-based compensation expense. Our net loss for the third quarter of 2021 was $78.2 million or $0.57 per share, including non-cash stock-based compensation expense of $20.9 million. While the clinical hold has detracted from our ability to enroll patients into our five clinical studies, we continue to support multiple research and operational initiatives, including preparation for a potential pivotal Phase 2 study on ALLO-501A and deployment of CGMP production at our Cell Forge 1 manufacturing facility. As a result, we continue to expect our full year 2021 operational expenses to be between $300 million and $330 million. This includes estimated non-cash stock-based compensation expense of $80 million to $90 million and excludes any impact from development activities. With that, we will now open the call for your questions.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Tyler Van Buren from Cowen. Your line is now open.
Tyler Van Buren: Hey guys good afternoon. Thanks very much for taking the question. So in the release you state that there is ongoing discussions with the FDA. I have to ask, is there anything more you could say with respect to these discussions, or the nature of them? And if the FDA has formally requested any data on what that might look like, if not, perhaps you could talk about your ongoing internal investigation to generate the data that would make the FDA comfortable, whether that's testing samples from the manufacturing batch that produced the patient sample, or other things that you might be doing.
David Chang: Hi Tyler. Good afternoon. This is Dave Chang. Let me take that question. In terms of whether we have received a communication related to the clinical hold, yes, we have received a clinical hold letter that details FDA's concerns as well as the data requirement. And also, we have met informally with FDA to discuss some of the details. So, to that extent, we can talk about but in terms of the details, other than what we have previously communicated, which is that the agency's concern around a single case of chromosomal abnormality is whether this has any clinical relevance. Also, whether there's any evidence of clonal expansion and also whether there is a relation between the chromosomal abnormalities and gene editing. And each of these areas our team has made a tremendous progress in terms of making a path towards addressing each area of the concern. So, that's about, at this point, what we are willing to share. And while the investigations are ongoing and this matter is still under FDA review, we cannot really talk too much into the details.
Tyler Van Buren: Thank you.
Operator: Your next question comes line of Michael Yee from Jefferies. Your line is now open.
Unidentified Analyst : Hi, this is Dennis on for Mike. Thanks for taking the questions. You outlined a few possible hypotheses on the last call regarding the chromosomal abnormality, whether it's from TALENs or just from T-cell expansion. Has any of those changed given the additional work that you've done? And then number two, can you please lay out some of the timelines over the next few months in terms of your interactions with the FDA? How much back and forth do you expect? Just give the investors a sense of the timelines on when this could be resolved. Thank you.
David Chang: Yes, in terms of FDA interaction, and I would say that this is a very active and collaborative interaction. We have had sort of informal discussion as well as ongoing dialogue as we are preparing to respond to the clinical old letter. So to that extent, I think this is very positive. With respect to how this may happen. Yes, in the previous conference call, we laid down couple of different hypothesis, obviously with given all of the published literature about potential gene editing nucleus to chromosomal structure deletions or abnormalities. We have to take that into a possibility, but we also highlighted that the kind of chromosomal abnormality that we have detected in this patient is also known to happen in healthy T cells as they go onto expansion. So those two possible explanation still is the basis of our ongoing investigation.
Operator: Your next question comes to the line of Michael Schmidt from Guggenheim. Your line is now open.
Michael Schmidt: Hey guys, I have two questions. Just another regulatory question. This one is around the end of Phase 1 materials that have been submitted to the FDA. And I just wanted to understand, I guess, what needs to be checked off here in order to go – to get the go ahead for the Phase 2 study, which you said, I think is a parallel process side-by-side to the clinical heart investigation.
David Chang: Yes. Mike, Rafael has been leading the end of Phase 1 discussions with FDA, and I’ll ask him to respond to your question.
Rafael Amado: Yes. I mean obviously our main focus has been to on the whole activities and we obviously are fully dedicated to that. And as David said, interacting productively with FDA. But in spite of that, FDA has remained engaged with us on the Phase 1 sorry, the Phase 2 here with our trial for 501A. And those discussions have also been very productive. We don’t get into the details of regulatory discussions as this is a matter of policy, but I can tell you that, all the discussions, which included not just clinical discussions and the nature of the clinical trial, but also extensive discussions on manufacturing, which has in this field are quite important. There all have taken place both for the sell product as well as 647, which is as you know, this is a co-development type sort of development. So further than that, I think it would be premature to comment. But in we’ve been doubly busy, I would say with the whole as well as the registration program.
Michael Schmidt: Okay, great. And then a question on ALLO-715, I might have missed it, but I’m curious how much additional data you’ll be able to share at ASH on the multiple myeloma study and whether that will or will not include patients that have received the consolidation?
Rafael Amado: In multiple myeloma, we will not include consolidation that started later, and then that will report next year. We will share data with about a few additional patients or some more patients that have been accumulated since the cutoff that was in June, as well as longer follow-up both in terms of responses to our ability and MRD data – type of data.
Michael Schmidt: Okay. Thank you.
Operator: Your next question comes from the line of John Newman from Canaccord. Your line is now open.
John Newman: Hi guys, thanks for taking the question. Also I had a question about the typical study of the Phase 2 pivotal study for 501. Just curious generally speaking, if you would say that given the additional data that we’ll be seeing in ASH, you believe that the optimal way forward would be consolidation dosing, and whether that consolidation dosing would apply to both patients with stable disease after the initial dose, as well as a response.
Rafael Amado: Yes. Hi, this is Rafael. And I think what I would say to that is that we are encouraged about the consolidation data. It’s still early for us to say that this is going to be a definitive dosing. But as you’ve heard in the prepared remarks, the data is pretty encouraging with conversion from PR to CR. And we are – as this part of your question doses also patients that have stable disease as well. And so we will look forward to updating data at ASH with additional patients and additional follow-up.
John Newman: Thank you.
Operator: The next question comes from the line of Luca Issi from RBC Capital. Your line is now open.
Luca Issi: Great. Thanks so much for taking my question. I’ll try to not ask the questions from the clinical hold. So maybe on the pivotal trial, can you just remind us why you believe that the pivotal trial can be single arm? It looks like Genmab has started a pivotal trial for CD3, CD20 bi-specific antibody head to head versus dealer’s choice chemotherapy in a similar settings. So wondering why that’s not the right comp for us to think about it. And then maybe a competition obviously we seem to do that from CRISPR couple of weeks back. I know their data will not be at ASH, but wondering if you have any comments on what’s your take on their dataset. Thanks so much.
David Chang: Okay. Luca, thanks for not asking a question about the FDA clinical hold, but your question upon the clinical study design and our approach as we prepare plan the Phase 1 meeting and in preparation of the pivotal Phase 2 study. We don’t want to go too much ahead of the FDA discussion and make sure that we communicate once we finalize the study design. So there are many aspects. I mean, certainly the question around whether are we going to approach as a single dose or consolidation. I know that it’s an outstanding question and live in sort of dodging the question and it’s not – we’re not dodging, because we don’t have a position, we have a position, but I think it’s a little bit ahead of the game plus to talk and communicate about the exact study design. And your question around given the evolving environment in the non-Hodgkin’s lymphoma, the question around the single arm versus in a controlled study, that’s a great one. But I think there are enough precedents in terms of how regulatory agency especially FDA has reviewed the data. When the data set shows significant improvement over what could be considered as a standard of care. So I think there are many ways that you can sort of review the different regulatory precedents and our position still stands that in terms of the efficacy demonstration of our AlloCAR-T program, we believe that can be done from a uncontrolled single arm study.
Rafael Amado: And Luca, on CRISPR and the competition obviously, it’s really not our place to comment on other party’s data. We welcome competition. We think competition makes the field stronger. Certainly, there’s plenty of unmet medical need to support multiple potential entrance in the allogeneic cell therapy space. Obviously, our focus is just on continuing to execute, try and lead this field and optimize our first in class products.
Luca Issi: Got it. Thanks so much.
Operator: Your next question comes from the line of Salveen Richter from Goldman Sachs. Your line is now open.
Salveen Richter: Good afternoon. Thanks for taking my question. With regard to the investigation, I don’t know if you can comment, whether you’ve been able to rule anything out at this point. And then secondly, on the multiple myeloma data. Are you hitting a plateau here in terms of dose response, just with regard to dose level four versus dose level three? Any thoughts there would be helpful.
David Chang: Yes, Salveen, this is David. Let me take the first question and I’ll pass the second question to Rafael. I mean our investigation has been very active and very productive. We know quite a bit, but we want to follow the due process. Our main audience for the investigation is the FDA. And until we complete the response letter and come out of the clinical hold, I think it is premature to detail about what has been done and where our position is. I mean from our perspective, the path towards lifting the clinical hold is straightforward. I mean, there are some data generation that we have to do, but we see a clear path forward. With regards to multiple myeloma, we’ll first – we will present on 320 million and 480 million. We don’t have any intention of continuing to dose escalate. Whether we’d reach plateau or not, I think is still pretty mature to tell. With more cells, particularly the medium doses of ALLO-647, we see slightly higher responses with 480 million, but the numbers are still very small to be able to tell. So I think the overall answer is that we will probably stop at 480 million and analyze the data and then make a final decision as to what the recommended Phase 2 dose will be.
Salveen Richter: Thank you.
Operator: Your next question comes from the line of Jason Gerberry from Bank of America. Your line is open.
Unidentified Analyst: This is Parry on the line for Jason. Thanks for taking our question. I guess, just an additional question on the kind of assuming resolution of the clinical holds. Do you anticipate any updates to, I guess, screening protocols for this type of chromosomal abnormalities that could happen. And then a second question, in terms of once you respond to the clinical risk – the clinical hold letter to the FDA, how long do you anticipate kind of they’re processing that and when you could restart the trials. I guess, just want to better understand when the pivotal trial initiation could start following that – following response to the FDA.
David Chang: Yes. Parry, let me take the question. I mean, the questions that you are asking are very important questions. And we are working hard to come to a resolution to the issues related to our clinical whole. I mean, some of the question at this point, we don’t believe that we’re going to have to change what we do in the clinical setting that much. And for that matter, I think much of the focus is generating some additional data to include in our clinical response letter. So, that’s what we are doing. And in terms of the second question about how long it’s going to take, I mean, I don’t want to speak for the FDA. So let’s just defer that to when that happens. But I’m just going to add by saying that FDA has been very engaged in this discussion with us.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Cory Kasimov from JPMorgan. Your line is now open.
Cory Kasimov: Good afternoon, guys. Thanks for taking the questions. Two for me as well. So first one is with your update today on the ALPHA study, same four to seven patients in consolidation cohort who are evaluable for response all follicular lymphoma. I’m curious in terms of not having a valuable LBCL patient yet. Is this a function of limited follow-up or baseline disease or something else? And then second question, there’s obviously some patients who respond very well to a single dose treatment. So are there learnings you can take from the initial data as to why that might be or how to determine what patients get consolidation? Or is this eventually a market where you think everybody goes on to get consolidation with allogeneic therapy? Thank you.
David Chang: Yes. Let me take that question, Cory. So the reason why in our first study the conservation patients are in follicular lymphoma is because we’ve been preferentially channelling the large cell lymphoma patients towards 501A ALPHA2. So they are – we’ve reported the conversion of PRs to CRS and 67% CR rate. And we will update those results at ASH. And then can you repeat the second question please?
Cory Kasimov: Yes. In terms of having patients who respond well to single dose treatment, that kind of what you can learn from that, why some will be better with single versus the consolidation? Is this a marketplace we think eventually everyone just goes to get consolidation therapy?
David Chang: Yes, it is true that some patients may do well with single dose and we’ve reported extensively that on the ALPHA study and we will provide an update on those patients. We just believe that the second dose can provide an increase in response rate and hopefully durability as we will show more data at ASH. And it’s really that delta that we’re looking for in terms of being able to improve beyond what we’re seeing with the autologous therapy. So once we make a decision, every patient will be treated uniformly in the control.
Cory Kasimov: Thank you.
Operator: Your next question comes from the line of Raju Prasad from William Blair. Your line is now open.
Raju Prasad: Thanks for taking question. I want to get your thoughts on two separate topics. First kind of piggyback on the last question on consolidation therapy. In the Universal trial – or I’m sorry, on the GSI and TurboCAR therapies, are you thinking about consolidation therapy there or using GSI twice? And then also wanted to get your thoughts on kind of the transform and ZUMA-7 data and how that may pertain to kind of second line transplant eligible usage when you get to that level for ALLO-501A? Thanks.
David Chang: Yes. So the GSI study has superior of time of administration of GSI. So it’s not a single dose. And that study is ongoing. We are growing – we were growing up to the whole and we will resume once have all this listed, obviously. And then we hope to report next year on that experience. The 605 had already started that’s the TurboCAR. We were making really good progress in that trial. And again, we will report on that study. We continue to put patients following the whole. So essentially the point with GSI is there’s a finite period of time where they will see that after receiving trials. And then your additional question?
Raju Prasad: I just wanted to get your thoughts on the transform in ZUMA-7 data and potential for patients in ALLO in second line transplant eligible patients.
David Chang: Yes. So I mean, obviously the therapies in the autologous setting are moving into earlier lines of therapies. This is not a surprise. And this is obviously great for patients. I think those results were fantastic. And they will have an influence on how we end up developing 501A. We will follow a pathway of starting with relapse refractory patients, but we have plans for full development of the product time goes on. And clearly the data from transform as been very encouraging for us to really move 501A as well into earlier lines of therapy when time is gone.
Rafael Amado: Now let me just add, by saying, we and others, I mean, certainly after we started talking about consolidation, our peers are also talking about consolidation as an approach, and there is a lot of good rationale including very exciting emerging data. So we are encouraged by it, but the way that we will approach in terms of consolidation, in other programs that really have to depend on evidence-based, especially with the turbo CAR. I mean, that is a novel technology. I mean, what – a single infusion of turbo CAR construct we'll do is our key questions. So, in a stay tuned, great questions but we will do this step-by-step matter.
Operator: Your next question comes from the line of Mark Breidenbach from Oppenheimer. Your line is now open.
Mark Breidenbach: Hey, good afternoon. Thanks for taking the question. This is kind of related to one of the previous questions. But I guess I'm wondering before the clinical holds were imposed, if you were able to enroll enough patients in the universal nirogacestat combination cohort and the consolidation dosing cohort, and even the IGNITE study to potentially arrive at some sort of answer in 2022 as to which prong of your multi-pronged strategy is working best in myeloma, or if you really think you'll have to enroll additional patients from what you already have in these studies before you'll be able to make any sort of conclusion one way or the other. Thank you.
Rafael Amado: Mark, let me take the question. Obviously, clinical halt was a headwind for us. I mean, we had to stop the enrollment in the clinical study that will definitely impact some of the timelines that we have previously communicated at this point, we are not ready to really talk about the data flow much of what you're talking about, including the data from the IGNITE, our solid tumor study, the turbo CAR study of ALLO-605, as well as the combination with GSI. They will open in for 2022. We will make our best attempt to keep the same timeline, but as expected, I mean, the clinical hold is delaying the enrollment. Obviously, we cannot enroll any patients and the data generation timeline.
Mark Breidenbach: Okay. Fair enough. Thank you.
Operator: Your next question comes to the line of Reni Benjamin from JMP Securities. Your line is now open.
Reni Benjamin: Hey, good afternoon guys. Thanks for taking the questions. David, I know that you mentioned that you didn't want to comment on how long the FDA may take? But could you maybe provide some bookends as to how long it might take for you guys to respond to the FDA? And I guess just maybe one for Eric, is there any impact of the clinical hold on the Overland joint venture, or do you think any of the learnings that you kind of discovered here or learn here can kind of be automatically transferred to the China opportunity?
Rafael Amado: Yes. In terms of the first question, I know that that is central to in a lot of people's mind. We will not provide any timeline on the resolution of the clinical hole. But be assured I mean, the team's working very productively for some additional data generation, and I think we are in pretty good shape to complete the response to the clinical hold. The question around how long does the FDA take before they respond to the – when company respond to the clinical hold letter. The PDUFA clock for there is a 30 days. I mean, that is a window during which they would have to respond. They will have to act in a based on response that the sponsor producers provide to the clinical hold letter.
Eric Schmidt: And Reni thanks for the question on our Allogene, Overland joint venture in China. Obviously, we'll apply any learnings from our interactions with the FDA and our investigation of the chromosomal abnormality to everything we do going forward. But with regard to specific and direct impact on China and timelines, no, I don't think there is any that joint venture is proceeding quite well. Obviously, we're still in the phase of building out infrastructure including a manufacturing facility. So we can use the time to continue to lay that groundwork and hopefully be ready to conduct tech transfer in the future at an appropriate time.
Reni Benjamin: Great. Thanks for taking the questions.
Operator: Your next question comes to the line of Benjamin Burnett from Stifel. Your line is now open.
Unidentified Analyst: Yes, good afternoon. This is [indiscernible] on for Ben. On ALLO-501 and the protocol around consolidated dosing, can you remind us what triggers the second dose? Do patients need to achieve a minimum response in order to get a second dose?
Rafael Amado: Yes, that's correct. So the patient has to have stable disease or better to get the second dose, and they also they also get us ALLO-647 prior to the second dose is they meet some criteria. If they progress after the first dose, then they don't go on.
Unidentified Analyst: Great. Thank you.
Operator: Your next question comes from the line of Asthika Goonewardene from Truist Securities. Your line is now open.
Asthika Goonewardene: Hi guys. Thanks for taking my questions. I'm going to do two as well. Just to follow up on Reni's question what will you, what do you plan on announcing in regarding to the ongoing process? I'm wondering a deal announced when you formally submit a response to the FTS letter or any other particular part of the whole process that's going to happen here? And then maybe an academic question. How do we figure out the right window in which to give the second consolidation dose and maintain adequate pressure on the tumor? We noticed you guys did address that correctly, but LBCL, but maybe the folks that CRISPR [ph] wait a little bit too long. So as we think about rolling this out into other tumor types, what's your approach to really figure that out? Thanks.
David Chang: Asthika, let me take the first question on our disclosure strategy. We aren't intending to give a play by play of day-to-day activities at Allogene and interactions with the FDA. I don't honestly think that that suits anyone well, but of course we're committed to providing updates in a timely fashion when we do have something meaningful and relevant to report. So stay tuned.
Rafael Amado: And with respect to the second question. Yes, it is a scientific question, for us, one of the key things that we are trying to do with a consolidation is to give consolidation without having to give chemotherapy based on lymphodepletion. So if we wait too long and when the patient's cells to recover, I mean, our belief is that you will need both 647, anti-CD52 antibody as well as chemotherapy. I don't think we want to go that direction, which is why we are giving the consolidation right now, essentially between 28 and 35 days after the first cell infusion is given. And I think that really optimizes in a cell expansion kinetics, as well as our ability to use only 647 for the second cell infusion.
Asthika Goonewardene: Great. Thanks for taking my question, guys.
Operator: Your next question comes to the line of Dane Leone from Raymond James. Your line is now open.
Dane Leone: Thank you for taking the questions. Two for me. Firstly, was the chromosomal abnormality found in the starting batch material ahead of infusion into the patient? And then the second question, I'd like to ask is, do you have any updated clarity in discussions around the design of a potential pivotal study for ALLO-501A, whether that study would contain a control arm, or it would be a single arm study? Thank you.
David Chang: Okay. Dane, let me take the first question and I'll ask Rafael to respond to the second one. In terms of when the chromosomal abnormality occurred. That's an important question, but there is reasonable hypothesis that we believe that it's making, I say that this could be from the gene editing nucleus that we employ for the manufacturing of AlloCAR T cells, but equally possible is that, this is a more of a natural phenomenon that can occur at some frequency when T-cells undergo expansion. So let me just stop there, without giving, going too much into the details of how much we know at this point.
Rafael Amado: Yes. And with regards to the trial design, as you know, David mentioned before, these products have been all approved based on single-arm trials, including the most recent ones both in [indiscernible] and the most recent one in multiple myeloma. We believe that we will have the same follow the same path, particularly given the fact that we're an off-the-shelf therapy with the advantages. So leukapheresis and the ability to treat every patient and the differentiation with autologous products. So at this point that is our expectation and our belief that this will be a single-arm trial.
Operator: Your next question comes from the line of Robert Burns from H.C. Wainwright. Your line is now open.
Unidentified Analyst: Hi, this is Mitchell on for Robert. Thank you for taking our questions. The first question is can you comment on any change in development plans after the clinical hold is lifted? Would there be potentially a faster route to approval with the postcard key setting that you anticipate pursuing?
David Chang: Okay. So in terms of any changes in the clinical study design obviously, we will not go into that kind of details. But we do a lot of careful thinking before we finalize clinical design and we stand by in terms of how we are designing studies to safeguard the patients, as well as asking many questions that could advance the fields of allogeneic CAR-T therapy.
Unidentified Analyst: Okay, great. Thank you. And then for 501A and the data that we could see at the actual ASH presentation, what incremental dataset can we expect there versus what we have in the abstract?
Rafael Amado: Yes, I think it’s hard to sort of speak to that ahead of the Congress. I mean we want to reserve the ability to present it and keep the confidentiality until the timelines of the Congress. So apologies for dodging the question, but stay tuned. You’ll see the answer.
David Chang: And ASH it’s only four weeks from now.
Unidentified Analyst: Great. Thank you very much.
Operator: Your next question comes from the line of Kalpit Patel from B. Riley. Your line is now open.
Kalpit Patel: Yes. Hi, good afternoon. Thanks for taking the question. Maybe a little more color on the planned Phase 2 for ALLO-501A. I guess if you were to implement both single and consolidation dosing into your protocol. Would it just simply be a designed as two separate cohorts? I’m just trying to understand, if you may need a greater number of total patients or even a larger study and what was required if you were to add that extra cohort. Thanks for the question.
David Chang: Yes. As I said before I mean we have going into the details how we will define the design, the trial. We plan to have a single regimen in this study. So we don’t plan to have a single dose and consolidation dose will be a single regimen and a single arm trial. So that’s as far as we can go with regards to study design.
Operator: Your last question comes from the line of David Dai from SMBC. Your line is now open. 
David Dai: Hey guys, thanks for taking the questions. The last question around the ALLO-605 the triple CAR-T. Could you share with us some of the type of cytokine armory you’re using to further improve the cell toxic activity of the cells? And also, could you remind us for your clinical trial? Are you using consolidation therapy and also, are you also combining with GSK for the ALLO-605?
David Chang: Yes. So the [indiscernible] study, where it’s too many excited about that the potential of these CARs to actually expand the degree exhaustion and have greater anti-tumor activity and potentially perhaps be able to use fewer ourselves. These are cytokine signaling that are generally damaging cytokines that are atrophic to these cells. And we haven’t gone into the details, so the specifics, but you can imagine that these are the kinds of cytokines, how one sees, to recover homeostasis after a lymphodepletion. We may decide to use GSI that is a decision that doesn’t be made yet. And in terms of consolidation, I think it’s premature to tell whether or not we’re going to need consolidation or not. We will know it when we have a little bit more data once we resume the trial.
David Dai: Thank you so much.
Operator: Thank you. That concludes our question-and-answer session. I would like to turn the conference back over to management for any additional comments.
David Chang: Thank you again for joining the call today. We are deeply committed to patient safety, excuse me. We are deeply committed to patient safety and continuing our work with FDA to find not only the best resolution today, but the best way to move our field forward tomorrow as we lead the field in the development of allogeneic CAR-T products. Developing novel science into innovative therapies, it’s not easy, but we are confident that we as a team to bring the first allogeneic CAR-T therapies to patients. We are proud to take the lead, to expand boundaries and to revolutionize the future of cancer immunotherapy. Operator, you may now disconnect.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference call. This does conclude the program and you may have now log off and disconnect.